Operator: Hello and welcome to the TUI FY'20 Results Conference Call. My name is Molly and I'll be your coordinator for today's event. Please note that this call is being recorded and for the duration of the call, your lines will be on listen-only. However, there will be an opportunity to ask questions. [Operator instructions]. I'd now like to hand you over to your host Friedrich Joussen to begin today's conference. Thank you.
Friedrich Joussen: Thank you very much and good morning, everybody to our virtual conference. It's not only virtual for you; it's also virtual for us. I don’t sit with the team, but I hope it will be rocking well. Let me turn to page number three to show you a little bit what will be doing. I will be doing opening statement and Sebastian and Birgit will talk about in section two or three about results and again the support package and the later stage was there and our thinking. I will be talking about market trends and the next your perspective and then actually we have the honor to introduce our new CFO. As you as you Birgit will be leaving we are very sad about that. But the new CFO is an old companion, not only to me, but also to the company. Very experienced in the industry and Sebastian will actually introduce himself at the end of the meeting.  So, now turning to page number 4. You can say that COVID-19 has been the greatest crisis in the tourism sector and also for us. And you'll see that reflected in financial year 2020 results. The good thing is, I think when you look at vaccination news coming, testing news coming. When you look at the booking patterns, when you look at all these, I think we have seen the worst. And you know also with our new financing package, I think we would be able to look for the crisis. So that's something which -- it’s not a pretty picture for financially year 2020 but fortunately is past.  We actually -- in the year 2020, we of course saw an incredibly strong start. Of course also of better consolidated market with Thomas Cook not being there anymore. January/February was fabulous. We added capacities after that and then a standstill. So, that was something we needed to tackle and we took -- we took out cost. But now, I think after start and stop of bookings in the summer and also in the winter, we are now looking at 82% down in capacities. I believe that it still a business that's good and you will see that, I believe particularly when you look at summer, it will be different. I mean the one before last bullet says, 50% of capacity sold in May which is the first summer month, and of course, subsequent months we’re going to achieve better.  And we will also talk a little bit about the relative price which is up 14%. So, it’s good selling levels. It's even better than good prices. And therefore, if we don't close down next summer again and I can at least know with the vaccine and the new testing regimes following and the COVID was which we are working against. I think we have seen the worst.  Now, bullet point number 4 on the slide talks about the realignment program. We took -- not only took out 70% of cost immediately, and you know that after the lockdown in March. But also we put up a realignment program which does two things. First of all, it reduces dramatically cost. And secondly, it pushes digitalization, so that cost savings don’t go in line with quality deterioration, yeah. The process is right now one process every available system everywhere and fully digital. And we are now confident enough to increase our target from €300 million annual savings to €400 million annual savings.  So, we tightened the program. We are executing well. We are running in front of our objectives. And therefore, we are now confident to commit to €400 million annual savings which is of course good if you look through the crisis in a much different cost structure. Additional support package we talked about, and that's very important for three things. First of all, it provides of the €1.8 billion, €1.5 billion are additional liquidity, €300 million were out for actually the repayment of the bond.  The second thing is, it is largely equity or equity related or equity resource instrument and also guarantees. That means no debt or very limited debt. And that is important for the balance sheet long term.  And lastly, this said package we move out first maturities of our debt instruments from actually second quarter or quarter starting April next year to quarter starting July in 2022. And that gives us more than 18 months. And when you think about the whole crisis in nine months, it's a lot of time that we can actually take care of the ways how we will pay and construct our debt embellishing positions.  And then lastly, on that slide, significant positive market. We actually, on the announcement. I mean just the share price just you know that we were right now in the position to structure our new financing round also including €500 million of equity raise. You know, it was something as a consequence of just the vaccine announcement. And obviously, this is something which customers but also you, as investors, see as a as a turning point. And combined this antigen testing, I think it is what we also believe a turning point for our company.  So, I believe we are strongly positioned to benefit from market recovery which no doubt will come. Demand is there. Of course, now restrictions are more regulatory and legal and not demand-driven. And therefore, you know we can resume the growth trajectory as soon as markets open up again.  Now, I have now talked about slide number five and six in my summary. And maybe let me, before I hand over to Birgit, turn to page number eight. And here, you see the full-year numbers and Q4 numbers. Revenue is maybe not so interesting. The only thing you see it is €8 billion. So, it is minus 58%. So, it has been a very restricted year. Okay. It's not a surprise.  But maybe focusing on to the full year, EBIT, it is minus €3 billion. That is, of course, when you take into account -- let's take into account the impairments, the bottom, large impairment driven one-off effect. The impairment is because of the higher WACC just an accounting thing. But €2.2 billion, €2.4 billion of these €3 billion are the potentially additional debt, which is there. It's not all additional debt but largely. And Birgit will talk about it because just to get it right what is there to say.  If you look at liquidity and the cash burn we had, largely, it's also driven by the payout of customer, the prepayments, which of course will immediately flow as working capital into the system again as soon as the business starts again. But Birgit will highlight that a little bit more in detail. It's not a pretty number but fortunately it is the view into the past and not a view into the future. And either be coming back with a view into the future and hand over to Birgit right now starting with page number 9.
Birgit Conix: Thank you, Fried and good morning to you all. So, I will be taking you to the financial starting with the usual EBIT which we schedule on each day. Sorry there is an echo. Okay. So on the left, we start with our fiscal year 2019 underlying EBIT of €893 million and we then add up the positive contribution from our strong first five-month performance and this brings us to €990 million. And for a profound view we are adding back a €114 million of non-repeat feet of the Boeing Max grounding costs as compared to the previous period. And as you can see from the next bar, the overall COVID-19 impact for this fiscal year amounted to €3.4 billion in total of which €2.2 billion relates to the fourth quarter. And the next block represents the full year impact of our impairments change versus prior year. And this is the increase of €505 million and of which the majority occurred in the nine-month period I've discussed with you during our last quarter results. And the full year amount consists of the following buckets. It's a roughly €200 million for hotels and resorts, €150 million for the Marella cruise ships and €150 million for other impairments and these are mainly cost save related. And as a reminder, the impairments were triggered due to a higher WACC from an increased market risk premium which is often higher discount on our planned future cash flows. And then the loss last year, as you can see, we equally record an impact of nearly €250 million of hedging ineffectiveness and this is due to a reassessment of capacity requirements related to COVID-19. And as a result, our overall underlying EBIT recorded a €3 billion loss for the fiscal year.  So, moving over to slide 9. You will find our income statement with the explanations on a like-for-like basis under IAS 17. And I will give you [indiscernible] with my comments as well as figures that are impacted by COVID-19 and a more detailed analysis is meaningless. So, I'd like to highlight once again our achievements on fixed cost reductions. So, in the fourth quarter, we delivered a fixed cost run rate of €260 million, which is fully in line with our internal expectations. And this really demonstrates that during the COVID-19 pandemic, we managed to substantially reduce our cost base. And it also demonstrates our ability to rapidly react and decrease our operational gearing in an absolute crisis situation. And as mentioned in my previous slides and that’s what you can see here, the total impairments in underlying EBIT amounts to €550 million. And of which €209 million lies in underlying EBITDA and €306 million in D&A.  And then allow me one comment on the adjustments, which resulted in a net positive of €70 million. And this consist of restructuring costs and PPA with a total of nearly €400 million and an impairment on goodwill and property of roughly €100 million. And the adjustments are more than offset by the successful disposals of Hapag-Lloyd Cruises [ph] business. Another P&L provision I would like to comment on is the increase in net interest predominantly reflecting the utilization of the RCF and the first KfW facility. Then, moving to slide 10. And this is the 12-month period cash flow. And in this unprecedented situation and as we discussed also during all the previous calls, managing our cash flow and liquidity really remains the number one key priority for us. And we actively addressed the cash items in our control. So, let's go then to the main drivers of the fiscal year 2020 cash flow. And then here, as you know, the group’s underlying EBITDA loss is driven by the COVID-19 standstill, the related impairments and also the impact on hedging ineffectiveness which I discussed on the bridge as well.  And then the working capital outflow, such a major component here is mainly driven by refund obligations due to the continuous restrictions on travel and also the settlement of trade payables. And a few elements I would like to point out, the €800 million decrease in customer deposits compared to prior year and we will be able to re-utilize €300 million of pre-prepayments made before the pandemic. So as a result, we expect the working capital position to recover as soon as operations restarts and people start booking again.  So we managed to reduce net investments but it's also important to note here and in a significant way reflecting our decision to pause all projects in Q3 and Q4. So compared to our previous operating guidance range, we nearly halved our spend.  And additionally, the sale of the German specialist business and the disposal proceeds from the Hapag-Lloyd transaction more than offset our net investments resulting in a positive inflow of €150 million. And as you know, our dividends were paid before the pandemic. And our financing cash flow reflects the full utilization of our RCF and the first tranche of KfW facility. And Sebastian will later talk about certain P&L and cash flow assumptions for the full-year 2021.  So, then, if we move to slide 11 on the net debt. And then, the table on the left is driven by the negative free cash flow after dividends of roughly €3.6 billion as the other items you could see net each other out. And then, so I will therefore focus my comments on the net debt and financing table on the right-hand side of the chart. And here, you see the increase in net debt by €3.6 billion. It’s mainly driven by the components we already discussed like our losses in reported EBITDA, our working capital outflow, and then also further impact of €0.3 billion consisting of the dividends and other cash flow and net debt items. And the number is -- important to note the number of €3.6 billion does not to reflect the second and the third support packages, which I will detail in a minute. And then, for the financing of the €3.6 billion, we utilized our existing RCF, the first KfW support package, and we drew up on our cash position.  So, let me now come to the additional support package which we announced a week ago. But first, let me introduce it a bit on slide 13 with the latest development since our pre-close trading update and what have changed since then. So as of late September, our business was significantly impacted by the increase in COVID-19 infection rates. And as you know this led to a new lockdown-like situation which led to customer uncertainty regarding new bookings and also timing of booking. And so we've therefore further adjusted our planning scenarios and expect the H1 liquidity to be lower and working capital recovery to be later than originally anticipated. And these reasons led to the negotiation of the further support package securing another €1.8 billion bridging us to expected travel recovery. So and then on slide 14, the -- and here I will not go into that on this slide. But it does show you also from the callers unfortunately a lot of risk but it shows you the complexity of managing the opening and closing of travel destinations across our various markets. And as you can even see from the predominant risk saving for the first quarter of our fiscal year 2021, most markets remain closed for travel. So, then if we move to slide 15 regarding our liquidity outlook and as I already said, our liquidity also for the first half of 2021 is slightly higher than initially expected due to the renewed travel restrictions. And our Q4 monthly cash outflow has developed entirely in line with our expectation. And then the Q1 of our fiscal year 2021 really goes in a higher liquidity outflow due to the restricted travel situation which I already described in which you saw from the previous page. So, we therefore expect a range of €400 million to €50 million of monthly cash outflows which equally includes supply agreement. We assume development for Q2 for the fiscal year 2021. It will be driven by two main factors. So the net cost in the range of €250 million to €300 million and also a working capital development which will depend on the COVID-19 situation at the time. So, that is difficult to predict right now. Then on slide 16 and you notice this, a bit of this page was presented to you last week during our management call and it was presented by Fried and Peter and it shows a view components for a total amount of €1.8 billion. And the package is based on support of the government and also shareholders with the significant support of our major shareholder uniform representing the Mordashov family. And it's also supported by a syndicate of banks on the debt and on the capital increase side. So, let me then quickly go over the deal again with the four view components. The first component relates to the economic stabilization funds from the German state which is called WSF. And it consists of two hybrid facilities which are financed participation of a total of €700 million. And in the appendix of the presentation you will find more details on the deal structure. And the first facility is a €420 million hybrid with a conversion option into two issues but only up to a maximum of 25% plus 1 share at a conversion price of €1. So, this is a straight convertible. And the second facility is a net €280 million hybrid, and this is a hybrid subordinated instrument, which also receives IFRS equity credit.  And as you can see from the chart, this is a leasing framework agreement for the entire year. And then, the second component on the right-hand side relates to a €200 million additional revolving credit facility supported by the KfW. And the main difference with the existing KfW credit line is that this will be a secured line as opposed to the other lines which are unsecured. And other than that, the terms are in alignment with the previously agreed lines. And at the same time, we are able to prolong the maturity of the €500 million cash, which was due at the 1st of April 2021, and we were able to extend that to July 26 -- 2022.  And then, the third component is a €400 million state guarantee which will unlock existing cash collaterals which we accumulated to start period. And this is, as we already explained, on the back of our credit rating and current situation. And these collaterals are related to European regulatory authorities and also credit card providers. And this is really good news because this can now be freed up instead of being restricted to cash, and it therefore strengthens our liquidity position with an equivalent amount. And in addition, I mentioned just on alternative view, there is a [indiscernible] in the WSF term sheet that the Hybrid II will be increased by an equivalent €400 million as a potential bridge and fallback in case the state guarantees are not realized. And then, the fourth component is a €500 million capital increase available to all of our existing shareholders. And we plan to reduce our nominal value of shares from €2.56 to €1 and we plan to issue 500 million new shares at €1 net. It’s price will be €1.07 to include the transaction costs with a net proceeds of €1 per share.  And all shareholders are invited to participate as this is a capital raise with subscription rights. And the €500 million is fully underwritten by Unifirm and also a syndicate of four banks, of which two banks are our brokers. And €300 million of the €500 million proceeds will be used to repay our senior bonds outstanding with a maturity in October 2021. And as a result, our first maturity will be in July 2022.  So then, if we then move to slide 17. This relates to the equity-related components. You can see that an EGM resolution is planned for January to reduce the nominal value per share from €2.56 to €1, as well as an increase of conditional capital to enable the conversion rate of a Hybrid I. And then an authorization of the equity capital raise and also a rights issue. Sorry. And the resolution on the €420 million hybrid bond share which I mentioned. And then just to note that the rights issue will be executed under German law and UK listing rules.  And then, on slide 18, you can see an overview of the timeline. And then from today on, the next step is to send out an invitation for an extraordinary general meeting to as I -- and I already mentioned to have a resolution by the shareholders on the capital reduction from the €2.56 to €1 nominal value. To get a resolution for the €500 million capital increase and to have a resolution on the €420 million Hybrid 1.  And then in January, we will hold a virtual extraordinary general meeting. And soon thereafter, we are planning to launch the rights issue which according to German standards, foresees a two-week subscription offer period. And during the subscription offer period, the investors can decide to participate in the capital increase and then a settlement will follow shortly after the last day of the subscription offer period.  And then if we move to slide 19, which is from my section, the last slide. So, the support package really underpins the strong trust alignment and also a commitment from the German state and our main shield, Unifirm representing the Mordashov family. It easily it increases our equity base by €800 million on an average of 16 days and it allows us to repay the €300 million bonds and through this extends our maturity profile until July 2022. And important to note is that the 30th of November, our pro forma liquidity including the support package amounts to €2.5 billion. And on the right-hand side, reconciliation from our cash an available facility since the beginning of the pandemic until the 30th of November.  And let me once again highlight that we saw a liquidity outflow of €3.4 billion, of which €1.7 billion [ph] to working capital, €450 million or €400 million to €450 million on of cash collateral. And we expect the working capital to recover with the normalization of travel and the cash collaterals will be freed up by the state guarantees of €400 million. Now, before I hand over to Fritz, I would like to thank you for interactions over the past 2.5 years not only during this COVID crisis but equally doing the Boeing Max crisis. And despite the difficult external challenges we faced, I felt you have been understanding for the situation, and I equally felt we had a very constructive one-to-one meetings together. So, I’m happy that TUI secured its financing for the next phase to come. And I also trust that in terms of immediate liquidity crisis we have now seen the worst. And so, from here, TUI should be able to build up again and come out winning, which Fritz and Sebastian will talk about later and now as of the next slide.  So, thanks again. And with that, let me hand over to Fritz.
Friedrich Joussen: Birgit, thank you very much. You are -- this was a departing message here, but you are not departing yet because you will be in the Q&A and the remainder. So, please stay around. And as I would like to talk a little bit about the future because I think last year has been -- last year and now, let's look forward. And the first question, of course, which everybody puts top on the agenda, do we have a market or do we have regulatory issue? And here I have a couple of information and slides which actually show very clearly that not only we think that it was largely a regulatory issue. So, people actually were not allowed to travel but they wanted to travel.  And the first one is the first picture I have here is actually the Euromonitor Market Research, which actually says that the market will be back very fast. In 2022, we will see levels of 2019 and even in 2021 which is started here is €1.3 billion. And that I think is very promising because not only the markets will be back, but through the crisis and even before the crisis, we saw consolidation happening. So, that was the reason for the very strong start in 2020. And even after the crisis even more consolidation will have happened. And therefore, we will see a strong demand, a pent-up demand, and we will see a more consolidated market.  Then, you look at the whole thing from a customer perspective. I think it's worth looking at the Boston Consulting Consumer Sentiment survey which lately came out. And what is this graph on the left is all about is different customer groups on top from left to right. You'll see the split by age. So, generation Z and Millennials, Generation X and me, the Baby Boomers. So, my generation. And you see household income per capita. So, highest and lowest quartile. So it spans all the incomes. And you see different rankings of demand which missed the categories. And interesting, everything is different but leisure travel, leisure travel is the one, priority one amongst all age groups and amongst all incomes. And is most of travel, we usually say the most of travel, the core of travel is done every second year. We see that and we believe and also our booking indicates already that you know people couldn't go this year. And therefore there has been an enormous pent-up demand next year. And that is I think very important.  Safety also will remain important which is I think also good for us. Because we are taking care of our business model for our customer save -- for our customer safety. We, for example people that travel right now with full screening testing. So that's I think that's very good. And so safety is coming up as an important issue alongside this price and other components.  Now, a little bit of anecdotes. I mean it is the customer experience firsthand. And I’ll just give you a broader couple of examples. In November, when we opened Palma on the 15th from Germany we were sold out in 36 hours. I mean this is very unusual. I mean it seemed to be that people were operating in front of the PC and how they could do -- actually it was all online, right? So, I mean the online is already back on previous year's levels. The thing which is missing is actually the retail. That's also by the way one of the reasons for this strong restructuring we’re looking at. So, then when you look at Canaries in October. So, just five months five months later, 50% of capacity was sold in one week. In the UK, that's another example. 20,000 bookings in 10 days after the Canary Islands reopened before October half term. So, I mean you see its enormous demand once you open that. But even long haul, I mean first plan to Saint Lucia load factor 98%. You say usually people with masks and so on, you know, that is something maybe people would not like not to travel but they do. But what also is interesting, all three flights, you know, and you know this well, the one we -- second and third flight to Saint Lucia load factors increase over 10% week-on-week after the last week. I mean this is usually not happening. So, you see late booking trends happening but also perform our Robinson brand, Esquinzo, and Jandia which are both on the Canaries improved 400% -- 430% and 300% respectively year-over-year, the first two weeks of November 2020. So, I mean, we opened more or less in the Canaries again. And you see this kind of bookings as soon as you are opening the demand there.  Now, when I look into the booking development as you see on the next slide left winter 2020 in the graphs and then with the dotted line summer 2021, you see in the bottom the 20% capacity for winter. So, it's a very small programming and it’s very volatile, yeah? And bookings down 82% is in line with capacity, the last weeks even improved a little bit. Average sales prices are good. I mean, it’s 4% up. So, that's something good.  And now, as we have also seen the reopening in the UK, I would say for the corridors we will see improving trends. But for summer, I think what’s important total net bookings are 10% down versus 2020, but 2020 was already very strong because Thomas Cook was gone. But when you look at summer 2019, which was more normalized, we were -- we are still 3% up.  And the interesting thing is we are 14% up on price. And that actually says something about the pent-up demand, people are trading up, that people are saying that summer will come, and the demand is there, and travel will be possible. So, the perception of scarcity I think is also potentially a driver.  UK is the market which was opened first. It’s 19% even -- where it’s 19% up versus summer 2020. So, where we had bookings in, we are still running significantly ahead of somewhat with a very strong summer 2020 bookings. And maybe one additional data point which I also provide on my summary page. The first big month of summer is actually May and we are 50% sold.  So the good thing is I mean, summer is running well and maybe on the next slide you’ll see interesting left booking weeks and days -- booking days, you know, in the winter left and in summer, right. And interestingly enough after the vaccine announcement, the winter was okay -- doing okay-ish, yeah. But the summer bookings really pick up right now. And that actually assess something about the perception of customers that summer 2021 will be recovered markets.  Now, one important component is of course the debt we accrue and we are very aware that we will -- we’ll have to be more lean and agile and much more profitable than in the past. So that's the reason why we have the realignment program. We call it a realignment program because it's not only about cost reduction, it's also about driving digitalization.  So, the obstacle usually is when you reduce cost, you reduce quality. But we are very aware that -- and we are very focused on increasing quality and reducing cost. And that is possible with our digitization program which we started two years ago. But we are driving much faster right now because we have less traffic in our systems. You know, the migration to the new architecture is easier.  And on the right side, you see that we are committing now to €400 million annual savings starting in 2023. And the reason for that is not additional programs. It is what it is. The progress and the focus is in the middle. But we are, first of all, executing faster. Secondly, we are executing more on the higher end of our initial assumptions, which have been above €300 million anyway. But then we talked about the first time we didn't want to overcommit, so we talked about €300 million. Now, we can talk about €400 million because the programs are firming up and we are running ahead of our savings targets.  So, then maybe one example I wanted to do around digitalization is just one proof point of our digital strategy. And I took our newest hotel brand, TUI Blue. There actually we have now we increased our active customer base from last year with almost 200%. But even more important, the bookings which we got in the app actually has almost quadrupled. So, it's up 350%. So, the bookings per user has actually increased, right. And that -- and at the same time, you know, the appreciation of the app is extremely high.  So, it's the most popular app in the App Store. So, you see here 8.5 CSQ. And so, it's quality app, redemption app, profit app. We are closer to the customer and of course, you know, this is a huge driver that for example operate in that case we can actually reduce stock into amusement and so in destinations the stock which is -- which was usually selling activities in destination. Now let me talk, you know, very briefly before I conclude on some industry fundamentals after the crisis. I think it's very clear, markets and airlines, we did see later booking profiles. We have seen later booking profiles and that will stay a little bit. We believe that long haul does recover fast than the vaccine is available and the testing is available. We see that right now, a good long-haul program even in very small destinations so Mexico is not open from Europe, Jamaica, and Dominican Public are not open. But, you know, as we open except for Cuba, immediately there is demand. So, the demand will not only be shuffled and general leisure travel will be also shuffled. That's what we believe. Anyway, we did see an oversupply in the airline market in the foreseeable future. That's the reason why we reduce our fleet 20%, leased 20%. But structuring in Germany one platform but we also believe in owned airline or the control of the airline will stay instrumental in our internal model. So, that's, you know, how we see markets in airline less exposure, less commitment but controlled.  Then, on Hotels, top right, short term, we will see overcapacities. Strong hotel brands will benefit. So, with our club brands, both our real blue and so on hotel brands we are well positioned. People who can produce traffic and who can produce guaranteed demand, they'll be best placed to actually gain in this recovering market. So, brand product, digital capabilities and also sales will be important and we believe are well positioned. In Cruises, this is actually we expect to recover strongly when the vaccine is available and testing. And the strong recovery will lead to an enormous shortage in supply. And we had a shortage of supply before the crisis. Now, in the crisis, many cruise companies have actually scrapped old capacities and actually have stopped investments into new capacities. So, therefore, we believe the demand will high and the supply will be short. So, as soon as it recovers, a good and a very profitable markets.  TUI Musement, more or less nothing changed. I mean, we believe in the activity market this is our biggest domestic market. It's very, very -- there’s very many players. It's not consolidated. It's not digitalized. And therefore, our platform strategy will not only take advantage of the growth but also will take advantage of the digitization and consolidation of the market long term. And therefore it stays -- this part of the business has been in the last year a major pillar for our future growth and it will stay.  And you know when I look on the next slide, then it is more or less the strategic picture of the strategic roadmap of TUI and we believe that the transformed TUI will be -- which is leaner, which is more digital, less capital intensive is in a great position to take advantage of recovering markets and as markets still have the demand but were regulated down and drive profitable growth.  And on my concluding slides here, it’s again, you know, let’s say the history and future of the crisis we had a strong start of the year. We had an enormous lockdown. We took the chance to acquire liquidity, to take down cost immediately and look through the crisis to accelerate our transformation into a lean and agile structure. And I think when you look at the booking trends right now, when you look at latest developments with the testing and vaccination, we will return into a profitable growth soon. There’s a stronger position, less capital intensive and more digital company.  That's it from my side. And before we take now questions and I would like to hand over to Sebastian, who is long term in the company, has been the responsible for all our assets in Hotel and Cruise and Destination businesses, and now will at 1st of January take the role of CFO of the company. Sebastian, your stage. 
Sebastian Ebel: Thank you, Fritz. First, I would like to thank Birgit for the smooth hand over transition. It has been good working with you. And I'm really looking forward to the new role. As Fritz rightly said, I’ve been almost 30 years in the company and I also had finance roles before.  We are all aware of this current situation. Hardly any revenues till March. We were able to secure liquidity very quickly. And we also looked into the different scenarios, a resumption in Spring 2021, but also in a prolonged impositions of international travel bans to secure today’s future. Therefore, we further -- we’re able to secure and support another support package which gives us sufficient liquidity reserves in this volatile market for 2021. And of course, we are looking in a variety of other options to further enhance our liquidity position and to rebuild a solid finance profile.  If you go to slide 34, these are my priorities for the next coming month to really drive the recovery and to work towards a healthy balance sheet structure. First, manage the liquidity. We -- the execution of the third support package, a very disciplined CapEx management which is very important, and to work on other divestment sale and manage back possibilities. Second, to drive revenues and earnings.  The most important thing is of course that we are able to be significant profitable. One important thing is as the demand will vary to optimize the capacity, we have done very well in achieving less fixed cost which will help us to cope with demand changes to execute the global realignment program and of course to continue cost discipline and improving the quality through digitalization. The good thing is, that this goes hand-in-hand. We can further reduce costs by improving the service to the customer and to drive to its transformation to a return to growth, to a growth path, to take all of the opportunities we do see today for the future of tourism.  And last point, to optimize the financing. To focus on asset-right strategy for airlines, for hotels, also for cruise, to manage the debt and the related interest cost and to look and to follow monitor capital markets options which we do see. So, at the end we will have a solid and healthy balance sheet and to return to a growth leverage ratio target of less than 3. Thanks a lot.
Friedrich Joussen: So with that, thank you very much, Sebastian. We now open the -- operator, can you please manage now the Q&A session. Thank you.
Operator: Of course. [Operator Instructions] The first question comes from the line of Jamie Rollo calling from Morgan Stanley. Please go ahead.
Jamie Rollo: First question just on the leverage number. I know you like to look at growth financial debt which I think thinks in the presentation but it looks to be about €8.3 billion from the annual report at September. And I suppose that must increase to maybe €10 billion since then if you draw down on the on the second and third debt instruments. And that's about three times last year’s EBITDA for 2019 EBITDA. So, that's 5 times 2019 EBITDA. So, how do you get that down to the three times target? I mean I can see the working capital might take a €1 billion off that but that still leaves a gap of about €3 billion. Secondly sticking with debt, the cruise JV debt is up to €3.3 billion at year end -- up about €1 billion from that Hapag-Lloyd transaction. I'm just wondering how that is financed and whether there’s any restrictions on the dividends to be received and whether that’s actually capability for the JV to buy Marella now it's got leverage at that level? And then finally just on disposals, i.e., the €400 million to €500 million but what is the form -- are they straight sales or are they same leasebacks? And if they’re same leasebacks, is that an additional €400 million to €500 million of asset financing debt that we should take into account? Thank you.
Friedrich Joussen: Maybe Birgit and Sebastian, can you take number one and two on [indiscernible] to come in.
Birgit Conix: Yeah. Okay. So hi, Jamie. So, indeed so if I reconcile the numbers that you quoted there. So, if you look at gross debt at the 30th of September, likely starts with €7.7 billion. And if you then indeed add back the second and the third facility, you come close to €10 billion and let’s say €9.8 million pro forma. And then, you deduct the bond, so the €300 million, so €9.5 billion.  And yes, indeed, we -- as we said earlier, we would definitely target to go down and to go down to a leverage level that is pre-corona, so less than 3 times. And there's four routes for us to restrengthen the balance sheet. And the first is, of course, building a cash back into the business through the tied operational controls and it’s what you've seen there like really enormous focus on costs. And you'll also see even the transformation program helping to deliver that.  And then, second, the disposals and asset financing, and Sebastian can also talk about that and he will talk about it for you third question. And then, of course, raising capital through debt markets is an option and raising equity. But of all of these options, we are particularly focused on number one and two, which are currently in our control, and that is the cost, the building the cash back and also the disposals and an asset finance. And then, maybe, Sebastian, as you were the architect also on the cruise business, it is your former line of business, I'm going to hand it over to you for that. 
Sebastian Ebel: Thank you very much. As you know, TUI Cruises partly by Royal Caribbean, 50% by us, is financing on its own. At the moment, we have two ships with guests cruising from the Canary Islands, which means that five ships are still waiting for being used again. We expect that we will be back to a normal itinerary in early summer.  Also there, we do see strong demand which is very promising at the moment. Also there, the limitation is where we can cruise and where we can't. And at the moment, the Canary Islands are the only sector. We assume that we will be back to normal in 2022 with the yields and occupancies we have seen before. That means that as TUI Cruises had to finance themselves in the recent months, that there will be no dividends for 2021 and 2022. And then we have to see how quickly the improvement will be. Second question on the disposals. We have looked at our hotel portfolio. The target is to sell straight and to manage back. There are very attractive options in the market. It's important for us that we get the real value which we do see. It probably will improve further in the next month. It's important for us that we don't fire sale but that we do the right deals and we are working on that and we do see good opportunities there.  When we manage back, it is important for us that we are able to have long-term contracts to make sure that we can keep the significant part of the profits stream. Actually by using the brand concept, especially to TUI Blue, we are also able to add more and more hotels where we have franchised or management contracts to offset the effects of hotels which we have sold.
Jamie Rollo: Okay thanks. So just to kind of follow-on on face-to-face. Birgit, did you say that additional equity is still possibly part of the plan? And Sebastian, just on the sell and manage back that we should be taking off obviously some EBITDA in relation to you selling the operations in? 
Birgit Conix: So, I can answer the first question. I was just mentioning the optionality. We have a spectrum of options and of course we need to look at everything. But it doesn't mean that I'm now seeing that that will happen. I mean I'm just laying down the options. Thank you, Jamie.
Sebastian Ebel: Raising the bar. On the hotel side, yes, of course we sell hotel. We lose profitability. The concept actually that was -- or the strategy which we defined before COVID was that we want to grow significantly our TUI Blue brand. And we do see that due to the crisis, the opportunities are even stronger as hoteliers look for a very strong distribution. And the target very clearly is to offset a part loss of profitability where we have sold our hotel by having more hotels under management or in a franchise concept. And this seems to work very well. If you may recall that we started with tenant TUI Blue hotels 15, 18 months, 2 years ago. We are now around 100. And we do see that we even can accelerate this path.
Friedrich Joussen: Maybe, Jamie, on my side maybe one thing to add, yeah, how I’d like to see it from the strategic perspective. You have actually two parts of a business when you run a hotel company, yeah. You have a property part, a real estate part, and you have actually an operational part. The real estate part is with us very often part of the integrated P&L. If you separate it, we unleash a lot of value because if you add a terminal value of the business which is the real estate as a terminal value piece. And there is so much money around right now which actually likes to invest into real estate.  And then, of course, you lose a part of the EBIT but not so much because the EBIT on the real estate is not very high. But you keep the control, particularly if you don't sell it but you put it into fund structures and that is what we are talking about. So, we keep full control, we have long-term contracts, and what’s above [indiscernible] you unleash growth because these kind of models if you integrate, if you invested all of yourself, then you would never able to grow the pace we wanted to.  So, it's not this part of the business even we pre-thought before the crisis is not happening to be accelerated. And more or less you could think about our hotel business becoming more a mature hotel business like Hyatt or the others are doing exactly the same, right? So, that’s more or less [indiscernible]. So, we keep control, we keep abreast, we keep whatever. I mean, so we are managing it, but we get it off the balance sheet. And that have some two cases; the first, the growth, and the second...
Jamie Rollo: Okay. Got it. Great. Thank you, everyone. And, Birgit, thank you and best of luck.
Birgit Conix: Thank you.
Operator: The next question comes from the line of Jaafar Mestari calling from Exane BNP. Please go ahead.
Jaafar Mestari: Hi. Good morning. Hi. Two questions from me, please. Just firstly on the Summer 2021 program, could you talk a little bit more about the products, destination mix, the length of stay, so what do you need to tweak to the offer or our customers are just literally booking anything that opens. And in these bookings, have you been able so far to maximize the bookings going to your own hotels and the routes that you fly in-house?
Friedrich Joussen: Yes.
Jaafar Mestari: And then, secondly, on customer deposits, there’s a useful bridge in notes 33 of the account and you’re saying that working capital outflow going forward is mostly going to be supplier prepayments. So, is it fair to assume the €1.8 billion of customer deposits in -- on the balance sheet in September mostly relates to actual live bookings, so customers were pretty certain want to travel? Or is there still a significant part of that that is in vouchers, in canceled bookings, etcetera that have a little bit more uncertainty?
Friedrich Joussen: Okay. Maybe I comment to the program itself. The good thing is the summer program is very broad. And what you see, of course, is a standard right now we had in Summer 2020 enormous bookings into Greece, yeah? So, therefore that is done now and also Spain is very broad and we also expect a little bit of recovery in the long-haul destination but long-haul a much more part in the [indiscernible] right? So, I think it's a pretty safe -- it's a pretty safe bet, you know? So, and today it's more or less whatever is open. And we have the full program of course 80% so, you know, we have less risk. That's what Sebastian also said -- we have said, let’s do a little bit less risk so we are safe yields, yeah? And if the market is too much, let's assume for a moment that we have some overcapacity so if the market is even stronger then we don't lose market shares, right? On the deposits right now, you know, of course, you know, on the working capital, you know, when it comes back, you know, in January or February we’ll have prepayments driven working capital developments. The first time is actually then April, end of March where you have redemption working capital development meaning big, right? So, that is the big first travel season. And therefore, you know, we believe, you know, in the booking -- summer bookings are of utmost importance or of higher importance end of January and February. And then the first redemption actually would take in April. Now, the question is how do we convert in vouchers or is it just dormant? It’s not so much dormant. I would say vouchers are the big part or people asking for repayments. But, you know, after the vaccine we saw a significant step up in our voucher acceptance and also new bookings into summer. And part of the €1.8 billion are the new bookings as well as free vouchers available. I hope that…
Birgit Conix: And maybe I -- yeah. Maybe I can add on the numbers and the question was on balance sheet and if we’ve [indiscernible] advance payments received and that position is €1.770 billion. So, €1.8 billion. And on that, the unredeemed voucher number for a little over €400 million to give you an idea. 
Jaafar Mestari: Thank you.
Sebastian Ebel: And maybe to the question on steering, what we do see, as said before, the Canary Islands are the destination which is open. We bring almost every customer on our own aircraft in almost all in our own hotels. That works extremely well. And we do see the same pattern for summer. The main target is to bring our guests into our own assets to secure the profitability.
Jaafar Mestari: Thank you. That makes sense. Thank you very much.
Operator: The next question comes from the line of James Ainley calling from the Citi. Please go ahead.
James Ainley: Good morning, everybody. Thanks for taking my questions. Three for me as well, please. The first one, can you talk a bit about whether you've seen any changes in the remittance terms from merchant acquirers or the payment terms demanded from your hotel partners? The second is, have you seen any bankruptcies from hotel partners? Interested to hear how that might impact your summer program and in particular the costs you might be paying for hotels that you resell?  And then third question is, how much industry discussion about cash ring-fencing and trust funds. Are you seeing any emerging developments about -- from regulators to demand cash ring-fencing or use of trust funds for your business? Thank you. 
Friedrich Joussen: Maybe, Birgit and Sebastian can answer.
Birgit Conix: Yes. 
Sebastian Ebel: Maybe I’ll start with payment providers. Yes, there was some pressure which has now been released. There is a very strong competition between the payment providers so that we do expect that this is now normalizing again. And what also helps is that we are moving in some markets where it's possible to direct debiting like in Central Europe or in Germany where this is very common.
Birgit Conix: And then just maybe on the future developments. I can just talk about the current situation. We have a good relationship actually with the regulating bodies that also of course [indiscernible] collateral damage. I believe that's been really very constructive. And we are happy with the outcome. And then on the credit card collaterals, of course we expect that to change an as you also see the liquidity position that we will have now. So it's all, I mean relates to [indiscernible] and of course the credit rating that we currently have does not help and then, part of the package that we just negotiated will also help in terms of the €400 million are guarantees. So I think that's what we can see as we…
Sebastian Ebel: And it is normalizing so that's what we can clearly say.
Birgit Conix: Yeah.
Sebastian Ebel: There was some part…
Birgit Conix: Maybe…
Sebastian Ebel: That’s normalizing.
Birgit Conix: Yeah. Maybe, you know, a word on hotel bankruptcies. We are not seeing huge bankruptcies quite to the contrary. I think, you know, you see right now that, you know, asset values and so on are more and more, you know, I would say increasing potentially in the hotel field, you know, the values are increasing and because people are starting to look for the crisis. And now this is, you know, first of all there is support up in the respective countries for financing but also, you know, the equity which is sitting at the sidelines is not kicking in. So because people I think I don't know anybody who says that actually leisure travel will not recover. It's a little bit different I would say to business travel, it's quite different to business level but leisure travel, the money is available and that’s I think what you see.
Sebastian Ebel: And so it’s great even for hotels…
Birgit Conix: Low.
Sebastian Ebel: Less than 50%. So, I wouldn't expect any major bankruptcies. What we do see is that hoteliers are interesting and very strong sales brand. And this is the opportunity we have. We have with the TUI brand [indiscernible] brand or the Robinson brand.
Birgit Conix: Yeah.
James Ainley: Thank you. And just following up on that, what's the implication of that for the costs you're paying for hotel capacity for next summer?
Sebastian Ebel: Well, that's not a big problem. I mean quite to the contrary, I mean, we have been renegotiating with almost everybody right now, yeah? I think of course, very clear. I mean, in that situation, we are renegotiating with everybody.  The good thing is the portfolio is actually good and also more and more hotels are, of course, interested in working with us because as Sebastian said there will be a little bit of -- there will be some oversupply. So, we need to invest there. And the interest of working with big marketing and sales brand in order to secure demand is if at all increasing.
Birgit Conix: And just -- I mean, the hotels here are very flexible. They look at their occupancy and know that was part of the transformation. Direct access to the hotel helps them and helps us to fill capacity with the right price we get. So, we are nowadays.
Operator: The next question comes from Stuart Gordon calling from Berenberg. Please go ahead.
Stuart Gordon: Yeah. Good morning. Couple of questions. First one, just to confirm the May capacity that you’re talking about, is that similar to the whole summer season sort of 80% of 2019? Secondly, and I maybe missed this in the answer to Jamie, but my understanding is TUI Cruises also have a loan from KfW. Could you confirm how much that is and is that also why dividends will be restricted until at least 2022? Thirdly, just on debt maturities. Obviously, it’s 18 months to July 2022, but is it any risk of not getting cleaning sign off for a going concern during 2021 if you don't get that completed sooner rather than later? And just one point of clarification it doesn't look as if you've included the cash collaterals that will be replaced -- that will get the state guarantee. It doesn't look as if you’ve removed them from net debt. Could you just confirm that all the cash, including those cash collateral, are included in the net debt number. Thank you.
Friedrich Joussen: Birgit, do you want to take that or Sebastian?
Sebastian Ebel: So, start with the answer on TUI Cruises. There is a support from KfW which we don't disclose the number. It’s similar to what I said on the hotel side. Cruise also has a cash breakeven 40%, 45%. So, when the business as it looked like come back, it's really return is very quickly to a positive cash flow. So, that's why we are very positive on cruise. 
Birgit Conix: Yeah. I will just -- maybe on the cash collaterals. So, just as a matter there’s partly restricted cash and partly receivables, so it’s a mix. 
Sebastian Ebel: And what we are also seeing is that there will be a significant positive impact due to the solid financing of TUI now. I mean, has completely changed the picture in the last 10 days. Okay. Does that answer the questions or what? I think I didn’t hear that.
Stuart Gordon: Yeah. Just confirmation that your May capacity is similar to the 80% you've talked about to the full summer.
Sebastian Ebel: It’s similar to the 2019 levels.
Stuart Gordon: Yeah. And the last question was on the debt maturities, is there is any risk of -- although it's July 2022, that obviously in the second half of next year is less than 12 months. Is there any risk to growing concern through the year as you publish your gains? 
Birgit Conix: No. Because despite, I mean the growing concern if confirmed by the auditors. 
Stuart Gordon: Okay. So because you’re not -- because it’s not formally audited during the year, that's not a risk.
Birgit Conix: One, it’s very clear that we are in good talks concerning 2022. For 2021, we are safe and we do even see now upsides. Of course, the situation has improved and we are working on 2022. And there we are very confident that we will come to very good solutions.
Operator: The next question comes from the line of Richard Clarke calling from Bernstein. Please go ahead. 
Richard Clarke: Three operational questions. if I can. First one is, how can we interpret the 14% price rise that you've talked about for the summer? Maybe we can break that down between what's like-for-like, what's mix, what's people using high value vouchers kind of going forward? And the interpretation of maybe your confidence around can you keep that number positive or near there through to summer? Second question is on cruise capacity. I assume the 80% number is just about markets and airlines next summer. So, what cruise capacity is going to sit at through next year? And then, it looks like your hotels did quite a lot better in Q4. They were down about 60% versus the markets and airlines down 83%. Is that about you kind of directing customers to your hotels, or is that about sort of geographical mix? And should we think about the hotels continuing to sort of lead on the recovery and what explains that?
Friedrich Joussen: Yes. I mean, I think on the hotels exactly what you're saying. I mean, we are directing the traffic into our own hotels. And that is a major driver of the vertical-integrated business model. And that is also the beauty of being it's part. The 14% is an up-trade, is an up-trading.  What we see is that people usually take something and then they are saying, okay, this year I didn't have a proper vacation, or this year I have the vouchers and they are putting this money against the top products. Now, we are positioned very well in the 4 and 5 star segment, and we are seeing the 4 and 5 star segment taking up first. So, therefore, it is I think something which will stick around.  Now, the question, of course, there's a contract rent in the -- of a short booking cycle. But even here, I would say, when you look at our winter bookings, we have been reducing our program in line with capacity, in line with demand, and therefore, even in winter the cost per or the price per travel was up. So, that’s what we try -- what we will try to achieve also for summer.  That’s the reason why we only plan a risk capacity of 80% despite the fact that actually Thomas Cook of course may not be there and, you know, you saw the Euromonitor, the de facto prognosis of demand is going down, let’s say something 12% to 14%. And so, you know, this 80% we are conservative and what you don't have into account of course is because the reference point is 19%. Thomas Cook was there. Usually you would say, you know, 20% more bookings should be possible. So, I think we are conservative. I think we are conservative. And the reason and the result will be that our prices will be good. Now on the crews capacities we have actually a script one ship in -- at Marekka, Sebastian, right?
Sebastian Ebel: Two. Six -- reduced from six to four.
Friedrich Joussen: Six to four so we have reduced capacity and we are seeing very good demand. I mean as soon as we can sail, the ships will be sailing. And the general sales I would say, you know, you will see a reduced capacity because also others have taken out old capacity and have not added so much new capacity. I mean not as much as planned.
Sebastian Ebel: And the German market probably will be very stable because there was unfilled demand for people go -- went to international products because the German-speaking products were sold out. So, there will be even if there would be slightly less demand, a spillover effect into German-speaking products by German customers. And therefore we kept the capacity plan from May onwards stable. It’s a little bit different in England where we're reduced from six to four ships were scraped, and that's -- we think that's the situation that we should also saw this capacity well. And we think that it will be normalized from early summer onwards.
Richard Clarke: Thanks. Maybe if I could just ask one quick follow-up. You haven't mentioned the 737 Max in your presentation. When do you expect to start flying that? And can you avoid kind of the overcapacity of the airline as those planes come on?
Sebastian Ebel: Yes. The FAA has now approved and the EASA will be doing in due course, yeah? Initially, it was planned for November, but now it moved into December, maybe January. I mean, the good thing is we have been able to not only get compensation but also delay the order book, yeah, interestingly enough. So, therefore, we don't have the inflow of capacity -- significant inflow of capacity over the next 12, 18, 24 months. So, that's actually also the tick in the box.  And interestingly enough, I would say afterwards, we believe that we will be looking into replacing capacity, not growing but placing capacity. One of the very interesting things, which are happening right now, that the replacement of old aircraft in the green deal of the EU, yeah, will be also funded by the EU. When you replace it, it’s more fuel efficient. So, it might be interesting afterwards to take capacity, but we not -- the deal we have been striking with Boeing is actually allowing us very flexible take-in rates for new aircrafts.
Operator: The next question comes from the line of Adrian Pehl calling from Commerzbank. Please go ahead.
Adrian Pehl: Thanks for taking my question. Actually one is on the additional cost savings that you want to bring forward. So I was wondering the €100 million additional savings per year. Where exactly is that coming from? Are you just doing let’s say more of the same program? Is that due to the reduced and probably forward asset base which you plan? And maybe you could elaborate a little bit further on that.  And on these asset disposals you have been addressing, actually first of all, is there a possibility to have whatever kind of sale and lease back on the Marella -- remaining Moretta Cruise Ships or is that exclusively geared towards hotels? And on the hotel side, is that just disposals or you’re really want to get rid of the likely unprofitable ones? Or are you broadly considering selling leaseback transactions on these assets? Thank you.
Sebastian Ebel: Maybe I can start on this. I mean first of all, the €400 million is not new, it’s just a tidying up of our program we had on the day anyway. So, when we do a program like this, we do a full program and of course our target is more than what we communicate. Because we will actually prove to you that we do €300 million. And now we are proving to you that we are doing the €400 million.  So we are just tidying up. We are running in front of our curve. We have promised something we can see now, we’ve seen or that we can deliver more and therefore, we are committing more. But it's not a difficult program or a bigger program or something. It’s just what we planned. But we are now telling you and committing to more because we are more certain that we can deliver.  Second, on Marella sale and leaseback externally is not an option. This is also very clear. So, we -- the joint venture you saw the Hapag-Lloyd think more in this direction, right. So, that actually we put the financing of balance sheet but we have the full control in the ships. And on the hotel front, I think two things are important to see. What we don't do we just don't sell hotels and lease them back as a pure financial transaction. This is not what our plan is. Our plan is and that was also a plan which was done before the crisis, to set up financing structures to decouple the real estate business, the operations business, so Opco, Propco kind of model, right.  And in the Propco of the real estate you have a significant part of the value and terminal value. And that is something which is not fitting our business models, right. So -- and there's enough money which actually is at the sidelines to invest here. So, therefore, you know, the separation will allow us to separate the real estate and to grow faster in our hotel portfolio because our balance sheet and our business model doesn't allow us to invest into property and it's not very efficient to do that. There's enough equity out which wants to do it. And actually, just fits to do it. It’s not our core.  Maybe one last word and, and this is something regarding sale and leaseback. Think about more sale and manage back, yeah? Because leaseback is not very efficient. And now, exceptionally we will do it but manage back is important and also I’s important, you know, that we have the control. And this, when you look at hotel fund structure instead of just plain sale and leaseback, yeah, it's much easier to do.
Adrian Pehl: Thank you for that. Maybe just a quick follow up actually as you've been probably considering such moves for quite a while and I'm probably pretty aware of the prices, I mean, I'm not quite sure if you could provide us some sort of at least qualitative indication on how asset prices on the hotel side have developed prior to the vaccine announcement and post the vaccine announcement? And post the vaccine announcement, our prices already near somewhere where you could say, well, that are reasonable prices or is the market still waiting for how the vaccine is actually playing out practically or how it lands into the summer season this year?
Friedrich Joussen: Personally but maybe Sebastian, do you shed some light on that? I mean I think the prices never have gone down really. I mean that's what I think I saw but is it right, Sebastian, my assumption?
Sebastian Ebel: Yes, I mean there’s a very different development between city hotels and leisure hotels. The price have been very high. Maybe there have been a slight 10% decrease in the recent months but it seems to normalize again as there are so much money and leisure hotels are seen as a good investment.
Friedrich Joussen: Yeah. So, it has not come down to the extent that you maybe -- actually, I have to say that I thought it would come down faster or more, but it seems to be that real estate investors look through the crisis.
Adrian Pehl: Okay. That sounds comfortable. Thank you. And, Birgit, thanks for everything, and all the best for you. 
Operator: The final question comes from the line of Cristian Nedelcu calling from UBS. Please go ahead.
Cristian Nedelcu: Hi. Thank you very much for taking my questions. Three if I may. The first one having in mind your guidance on capacity for next summer at 80%, could you give us a rough range or where do you expect the free cash flow for the company to be at the end of FY 2021? Secondly, looking at your guidance on CapEx of €400 million to €500 million, could you give us a bit more color what’s exactly in there and is that the new run rate going forward?  And thirdly, just on the -- on slide 25, if I understand well the difference for the summer 2021, the difference between total bookings and new bookings is somewhere around €1.4 million. Now, if we try to assume most of these are vouchers, and if that is the case, can you help me reconcile this number with the value of vouchers, the €400 million value of outstanding vouchers that you mentioned earlier? Am I missing anything here?
Friedrich Joussen: Actually, maybe, Sebastian, it's mainly -- I think we are not guiding, but just to make sure that I don't say wrong things.
Sebastian Ebel: Maybe on CapEx, as I said, we will be very tight on investments. So, for the time being, this is the upper end of what we want to achieve. So, there we don't expect today an increase in the foreseeable future. 
Friedrich Joussen: On the free cash flow, there was a one question on free cash flow I’m…
Sebastian Ebel: We don’t guide. 
Friedrich Joussen: We don’t guide. No. 
Sebastian Ebel: We don’t guide. It’s a very -- I mean, it's almost impossible to really judge this.
Friedrich Joussen: Yeah. Okay. So, what was -- and there was -- what part of actually the 1.4 or whatever, the difference between new bookings and net bookings is covered by vouchers. What part of that covers the vouchers? And is that something we -- I mean, top of my head I don't know. But in our sense do we know and [indiscernible] 
Sebastian Ebel: It had been €55 percent. But of course, now as the new bookings come in, this picture now is completely changing because the ones who wanted to rebook and use the voucher have mainly done it. So, from what we do see with the new bookings it will go up to 80%, 85% real new bookings and 10% still going for a voucher or rebooking. So, the good effect is growing out. 
Friedrich Joussen: Yeah. I don’t know. It works, but what is important thing, I mean, also having the vouchers actually tied into the system that new bookings is extremely important because lots of unused vouchers are also not very good. Okay. Does that answer your question, Cristian?
Cristian Nedelcu: Yeah. Yeah. 
Friedrich Joussen: Thank you. Thank you. That was the last question I think. Thank you very much everybody for staying -- for being on the line and listening in. I want to say on this side also, thank you very much, Birgit, again, you know you obviously did a good job. You know people, thank you on the call. I want to thank -- personal thanks to you. It was a great, a very constructive and good companionship, running the company. Unfortunately, crisis you don't consider your tenure or not. And therefore, it came, the COVID crisis came unfortunate. I wish you all the best.  And I would also have to say that Sebastian and I, we worked together for quite some while and in different functions. And I'm equally happy that Sebastian now takes this new very, very important role in restructuring our balance sheet. Of course liquidity now should be there to manage through the crisis budget but the balance sheet is a task. And of course we will have 18 months to do that. That's plenty of time, I believe. Thank you very much, everybody for listening in and talk to you soon.
Operator: Thank you for joining today’s call. You may now disconnect your lines. Host, please stay connected and wait for further instructions.